Operator: Please standby. Good afternoon, and welcome to Fluor Corporation's Fourth Quarter and Year-End 2015 Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the management's presentation. A replay of today's conference call will be available at approximately 8:30 p.m. Eastern Time today, accessible on the Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 7:30 p.m. Eastern Time on February 24 at the following telephone number, 888-203-1112, the passcode of 5904252 will be required. At this time, for opening remarks, I would like to turn the call over to Geoff Telfer, Senior Vice President of Investor Relations. Please go ahead, Mr. Telfer.
Geoff Telfer - Vice President, Corporate Finance and Investor Relations: Thank you, Justin, and welcome to Fluor's fourth quarter 2015 conference call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer, and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after market close, and we have posted a slide presentation on our website, which we'll reference while making prepared remarks. But before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on slide two. During today's call and slide presentation, we'll be making forward-looking statements which reflect our current analysis of existing trends and information. However, there is an inherent risk that actual results could differ materially. You can find a discussion of our risk factors which could potentially contribute to such differences in the company's Form 10-K, which was filed earlier today. During today's call, we may also discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now, I'll turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks, Geoff. Good afternoon, everyone, and thank you for joining us. On today's call, we'll review our fourth quarter and full year of 2015 as well as discuss our outlook for 2016. Before we talk about our fourth quarter and full-year results, I do want to spend a few minutes and to share my perspective on the markets we serve. Global economic growth continues to be weak and commodities prices remain low. We expect economic growth of the year to be similar of the past few years. Yet we also expect commodity prices to stabilize during this year and perhaps even begin to improve in the last part of the year. The lower commodity prices obviously continue to impact our customers' cash flows and, therefore, their ability on fund certain new projects at the same pace as they've done previously. Many of our customers have already announced significant reductions in their capital expenditure budget of 2016. However, Fluor serves a diverse portfolio of industries and regions, which provides the company opportunities even in difficult market environments. While low oil prices may delay some Oil & Gas projects, Flour is focused on our clients and their spending priorities. As I mentioned in the past, we continue to see the FID and large greenfield LNG facilities to move to the right as clients focused on opportunities to improve capital efficiency. By that extension, it is important to note that we do not anticipate any material contributions from LNG projects during 2016. Our Power business should experience strong growth this year with the Westinghouse projects now fully transitioned, plus the business has experienced an uptick in gas-related projects. Our Government and Infrastructure markets are also experiencing growth with key recent wins including the $1.4 billion nuclear cleanup project in Idaho and the Arizona Loop 202 project. We also expect to hear shortly the outcome of our bid to build the 16-mile purple line, light rail project in Maryland. We continue to implement our integrated solutions strategy. Our strategy focuses on delivering the full spectrum of capital-efficient solutions for our customers. We've taken significant steps in 2015 to broaden our offering including expanding our global fabrication footprint with the announcement of the COOEC joint venture in China and extending our position in the construction and maintenance markets through the Westinghouse nuclear awards and our upcoming acquisition, Stork. While we're talking about fabrication investments and historic acquisition, let me give you an update on closing status. Our JV with COOEC and the Zhuhai Fabrication Yard continues to progress. We're receiving final approvals now and expect to make our first payment in the next few months. Back in December, we announced the intent to our acquire Stork, a maintenance and modification and asset integrity company based in the Netherlands. Stork enhances not only our current offering but creates tremendous opportunity to leverage our combined capabilities and brands across a broad spectrum of opportunities. We anticipate this transaction to also close in the next few months. While we expect 2016 to be another challenging year, our focus will be on the things that we can control. Now let's look at our 2015 full-year results beginning with slide five – slide three. Excluding a pre-tax non-operating pension settlement expense of $240 million, net earnings attributable to Fluor from continuing operations were $571 million or $3.89 per diluted share compared with $715 million or $4.48 per diluted share a year ago. Consolidated segment profit for 2015 was $1 billion, which compares to $1.3 billion a year ago. Despite volatile oil prices, our Oil & Gas segment performed very well during the year, contributing $764 million in segment profit, a 14% increase over 2014. However, this increase was offset by the decline in other segments. Segment profits – profit margins were 5.7%, which compares with 5.9% a year ago. Consolidated 2015 revenue was $18.1 billion, down from $21.5 billion a year ago. Full-year new awards were $21.8 billion, including $11 billion in Oil & Gas, $6 million in Power, $3.2 billion in Industrial & Infrastructure, and $1.4 million in Government. Consolidated backlog for the year-ended – ending was $44.7 billion, up 5% from $42.5 billion a year ago. Our clients have not given any indication that they intend to cancel any ongoing projects with us. Turning to slide four, the Oil & Gas segment booked $2.1 billion in new awards including two Pemex refining projects in Mexico. Ending backlog for that segment was $28.8 billion, which compares $28.5 billion in 2014. Fourth quarter new awards in Industrial & Infrastructure were $302 million. We closed the year with a backlog of $5.6 billion compared to $7.2 billion at the end of 2014, which reflects the reduced mining and metals new award activity. The Government group posted fourth quarter new awards of $352 million and their ending backlog in 2015 was $3.6 billion. Turning to slide five, in the Power segment, fourth quarter new awards of $5.1 billion, including award for two reimbursable contracts with Westinghouse Electric Company to manage the construction workforce at two nuclear power plants in Georgia and South Carolina, ending backlog in 2015 was $6.8 billion, which compares to $2.1 billion a year ago. Segment profit for the fourth quarter was impacted by $31 million charge related to a gas-fired power facility in Brunswick County, Virginia. This was primarily related to commissioning, taking longer than it's expected due to changes and challenges associated with the installation of the gas turbines that extended past in the third quarter. This project has reached mechanical completion. We anticipate turning this project over to the customer in the spring. With that, now I'll turn the call over to Biggs to review some of the details of our operating performance and the corporate financial metrics for the quarter. Biggs?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thanks, David and good afternoon everyone. Please turn to slide six of the presentation. I'll start by providing some additional comments on our fourth quarter performance, then move to the balance sheet. Revenue for the quarter was $4.4 billion, which compares to $5.5 billion a year ago. All segments reported slight year-over-year revenue reductions with the exception of Industrial & Infrastructure, which experienced a 41% decline mainly due to the continued reduction in mining activity. Excluding the pension settlement expense of $231 million or $1.04 per diluted share in a quarter, EPS from continuing operations for the fourth quarter was $0.68 compared to $1.41 a year ago. Including pension settlement expenses, the company reported a loss of $51 million or $0.36 per diluted share. This quarter's EPS was negatively impacted by approximately $0.21 per share due to the combined effect of the $31 million charge on the Brunswick power project and a higher than expected tax rate due to losses in two foreign subsidiaries that we weren't able to benefit for U.S. tax purposes. These tax effects can reverse the future. Over the course of the year, we've received a few questions about the impact of foreign exchange rates on the P&L. Looking at the impact of FX on a quarterly basis, there is very little variation. However, when you look at FX from a yearly impact, 2015 versus 2014, using average rates of both periods, there is a negative impact EPS of approximately $0.20. Corporate G&A expense for the fourth quarter was $54 million compared to $53 million a year ago. Shifting to the balance sheet, Fluor's financial position remains very strong with cash plus current and non-current marketable securities totaling $2.4 billion, flat with a year ago. In 2015, the company generated $849 million in cash flow from operating activities compared to $643 million in 2014. The company also returned $635 million in cash to shareholders through share repurchases and dividends. In the first quarter of 2015, as you recall, we also settled the claim from discontinued operations of $306 million. Absent that, cash flow from operations would be even stronger. The previously announced $1 billion share repurchase program was completed in the fourth quarter of 2014 to the end of 2015. For the year, we repurchased 10,105,000 shares. On February 4, 2016, the board of directors increased our outstanding share repurchase authorization by 10 million shares. However, although our cash position is strong at the year-end, everyone should keep in mind that we have existing near-term commitments for our cash. Moving to slide seven, Fluor's consolidated backlog at year-end was $44.7 billion. The percentage of fixed-price contracts in our overall backlog was 22% at quarter end, and the mix by geography was 41% U.S. and 59% non-U.S. For the year, backlog was negatively impacted by about $3 billion as a result of the strong dollar. I will conclude my remarks by commenting on our guidance for 2016, which is on slide eight. We're maintaining our guidance for 2016 at $3.50 to $4 per share. Our guidance for 2016 also assumes G&A expense in the range of $190 million to $200 million at a tax rate of 33% to 35%. Other expectations for 2016 include new scale expenses of approximately $90 million as we get to DCA submittal later this year, capital expenditures of approximately $300 million, and our payments to fund our joint venture with COOEC of $350 million in the first half and $140 million in the third quarter of this year. Our guidance does not include any benefit related to our acquisition of Stork nor any transaction and integration-related costs. This transaction is expected to close as early as March. Our guidance reflects an expectation of gradual quarterly improvement in 2016. With that, operator, we're ready to take questions.
Operator: The first question come from Andrew Kaplowitz with Citigroup.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good evening, guys.
David Thomas Seaton - Chairman & Chief Executive Officer: Good evening.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Good afternoon, Andrew.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): How you doing? David, so look, we know new awards are lumpy but just trying to think about how to think about them going forward. So ex the nuclear projects, you booked close to $3 billion of work with most of that Oil & Gas. Maybe you can talk about what you think right now is sort of the underpinnings of work in a more difficult environment. Should this be the minimum that you generally have in any quarter, like a $3 billion number, again ex nuclear? Was 4Q anomalously low and could you average higher in 2016? Just how do we think about it going forward?
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah, I mean that's a great question. I think it's going to be even more lumpy in 2016 than we've seen in the past. The – what we're going to see is that many of the customers are still taking an extra quarter or so to make their decisions. So we run the risk of having a project go from first quarter to the second quarter or second quarter to the third quarter. So I think it's going to be somewhat more lumpy and I believe backend loaded more so this year than in previous years. We still have a – I mean it's a robust plan that's synonymous with the former year in terms of the things we're looking at. So I feel good about the total number, but it's just going to be a little bit of a dance here at the end of the quarter based on what decisions our customers make. We are getting indications that many of these customers are moving forward to FID on some of these programs and projects. So it gives us confidence that we'll be able to book these things. But giving a lot of clarity right now, in terms of what quarter they'll come in, I really can't provide that right now.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay, that's helpful, David. So, look, you ended up recording 7.6% margin in Oil & Gas, it's obviously an impressive result. You've talked about 2016 a little before – I think you guys have talked about low 6% Oil & Gas margins where we can end up in 2016. If Oil & Gas stays weaker for longer, can you sustain that kind of margin, and how much more cost out opportunity do you have in Oil & Gas? Like how do we get a read on these very high margins in a modestly weaker environment for you guys?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I'll answer it this way. I think our teams have done an outstanding job in terms of what they brought in the backlog, and the quality of earnings in backlog has not taken a hit, a significant hit. We've really – I'm really pleased with the way the organization has responded, really pleased with the way the market and, in particular, our customers responded to this integrated solutions model, which gives us confidence that, number one, that strategy is working and is welcomed by our customers and two, is producing the kind of margins that we expect to get. So I feel pretty good about the quality of earnings that are in our backlog. Now that does not mean there hasn't been pricing pressures in certain markets and doesn't mean there won't be pricing pressures going forward. But I think maintaining that kind of a level during 2016 is quite doable.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): So, David, is it possible to do better than low 6%s if things go right for you in 2016?
David Thomas Seaton - Chairman & Chief Executive Officer: It's – I'd rather not get into any more color on the margins than I've ever done. So I think I'll just stick with my 6%s for you.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): All right.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: In the end, of course, Andy, a lot of that depends upon mix, so it's hard to get more precise.
David Thomas Seaton - Chairman & Chief Executive Officer: Mix and timing.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): All right. I'll let you Jamie push you on that guys. Thanks.
David Thomas Seaton - Chairman & Chief Executive Officer: Good try.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Yes.
Operator: And our next question will come from Jamie Cook with Credit Suisse.
David Thomas Seaton - Chairman & Chief Executive Officer: Okay. Go ahead, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): I'm not...
David Thomas Seaton - Chairman & Chief Executive Officer: Go ahead and give me the question.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): I'm not even going to go – I'm not even going to start on Power. I'll let someone else to do that. But anyway, I guess my first question relates to the guidance for 2016. I guess I was a bit surprised that you maintained your guide given you don't assume any contribution from Stork which I get because it hasn't closed yet. But just based on your commentary that customers are slowing spend over a longer period of time, you knew that you had Westinghouse, when you initially gave you guide in the third quarter, doesn't seem like tax rate has changed. So I'm just trying to get a sense have the puts and takes of the guidance changed relative to – even we're still at the same place relative to where were last quarter? And then David, I guess my question to you is, Andy's trying to ask about Oil & Gas revenue and operating profit for 2016 or margins, but I guess my concern is or what I'm trying to understand is how do I think about the run rate of Oil & Gas profits as we exit the year. Because my concern I guess is more as we think about 2017, if awards don't materialize this year in Oil & Gas, which I don't think they do, how do I think about or how materially down earnings can be in 2017 because I can't think of a good reason why, outside of what we know about Westinghouse and Stork out, why the other businesses could actually sort of make up for the decline that we're going to see in Oil & Gas.
David Thomas Seaton - Chairman & Chief Executive Officer: Well, you know, Jamie, it's kind of interesting. I don't really want to talk about 2017 yet. I want to make sure we deliver on 2016. But our diversity does provide those puts and takes that you mentioned. And yes, there have been puts and takes that keeps us at the guidance where we are, which is a value of the diversity that we enjoy. If we were just an Oil & Gas company, you'd probably seen us reduce things like a lot of other folks have over the last few quarters. But that diversity pays off. The ability to take on big projects and power helps that earnings stream, our ability to do operations and maintenance work, our ability to work in the pharmaceutical business, in the infrastructure sector, all helps us from a diversity standpoint maintain earnings power. So I think that we've got the opportunity to perform as we suggested at the end of the third quarter. Relative to Oil & Gas, right now as we see it, the year will be reasonably strong. And as we enter 2017, assuming that a couple of things happen that we anticipate, 2017 should be equally strong in terms of Oil & Gas. So I guess there's a bit of a bearish tone in terms of the overall, and most of that bearish tone is coming from the press. I'm fairly bullish about our ability to deliver on 2016. I'm pretty bullish about our position in the marketplace to add backlog as – at least stay flat with backlog as we enter 2017. So the glass is half full, and I don't see the doom and gloom that a lot of people are and I guess your question kind of leads us towards.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Well, I guess just to – so just to be clear you said operating profit in the Oil & Gas should still be relatively strong or comparable to what we're going to see in 2016?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: It's probably down some from the whole dollar basis from 2016 – or from 2015, excuse me, Jaime, go on into 2016, but as David says, it's still strong. It's not a precipitous decline but it is some degree of decline there. So that's reflected somewhat by the lower margin rate that was already led you...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): But – no but I was more interested, I guess, in his 2017 commentary that it could still be pretty strong. Because I guess my question would be, if there's no big LNG project sitting, it doesn't sound like TCO is going to go anytime soon, so I'm just trying to figure out what I'm missing on, what you could book in terms of saying backlog could be flat with where we ended this year as we exit the year?
David Thomas Seaton - Chairman & Chief Executive Officer: Jaime, there's a lot of things out there, and people are still spending money. I mean, everybody wants to talk about LNG and TCO, but we've won four packages on refineries in Kuwait. We've won two projects in refining in Mexico. We've won refining projects in the United States with Tesoro and some others. So there's a lot of spending going on, and we're not hanging our hat on one or two projects. We, as a company, have over 2,500 active projects at any given time, and that's what gives us the strength and the confidence to be able to say, we've got a good solid hope. Now obviously, the sky could fall, but assuming that it doesn't, we should be in a good position as we end 2016.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): And sorry and I promise I won't ask another question, just a clarification. The backlog comment was that related to Oil & Gas or the total company when you said it could be flat by the end of 2016?
David Thomas Seaton - Chairman & Chief Executive Officer: Total company.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. All right, thanks. I'll get back in queue.
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks.
Operator: Thanks you. Next question comes from the Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Thanks, Good afternoon.
David Thomas Seaton - Chairman & Chief Executive Officer: Hi, Steve.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Good afternoon.
Steven Michael Fisher - UBS Securities LLC: David, how would describe the flow of FEED work at the moment because that obviously tends to be more steady? I guess I'm just kind of wondering what you've experienced in terms of the change in pace in FEED in the last few months. And maybe as you think about the whole company, which end market are you seeing the most new FEED work come in and which the least? And that kind of a trend positions into a question about sort of, is there a base level of Oil & Gas bookings that you think you could see over the next year as a result of kind of FEED and flow kind of work?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think you got to peel the onion on Oil & Gas back a bit. But let's just talk about the other groups first. We're seeing an uptick in opportunity in the Infrastructure group. They kind of hit a lull as you ended 2014 and early 2015. And we're seeing a significant slate of opportunities that are there, and part of that is I think the U.S. government focus on infrastructure and the things that are necessary to keep the U.S. economy going. So that's a bright spot. We're seeing an uptick in terms of pharmaceutical and biotech opportunities. With the FDA approving drugs, some of those projects are getting off of the mark. We're seeing a significant amount of frontend work, study work on gas-fired power plants, and we see a pretty robust opportunity slate there. When you look at Oil & Gas though you got to peel the onion and peel it this way. Number one, there is no drilling going on. You can read the rig counts just like anybody else. We don't have any exposure to that. You can look at the big deepwater drilling. The horizontal drilling in some difficult places, obviously, that's slowing, and we don't do that either. We are seeing, however, a fair amount of work in traditional offshore and traditional onshore upstream Oil & Gas and significant FEED work in those areas because there – the oil companies are going to take in their deep breath and they're looking at, okay, what are the priorities, and now, those priorities are coming out as studies and feeds in those markets. And those are slow, but they're coming. I think the FEED activity that's picked up is, as I said earlier, has been in refining and it continues to be in petrochemicals and fine chemicals. So you kind of got to peel the onion and the things that we have exposure to. We're still seeing a pretty robust slate of frontend work that again gives us kind of visibility. Going back to Jamie's question about 2017, we've got good visibility into – the priority of the projects that our customers were taking, the economic viability of those projects based on current economic factors, and that's what leads us to say that we'll have a pretty robust – the award slate that's – in robust to me means equal to this year, and certainly provides some visibility into the opportunities of 2017. So again I go back to what I said during Jamie's question, the glass is half full. And it's half full for us because of the fact that we've really stuck to our customers, and we've answered their call for integrated solutions and capital efficiency.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: To better...
Steven Michael Fisher - UBS Securities LLC: Okay, that...
Biggs C. Porter - Executive Vice President, Chief Financial Officer: ...reinforce David's earlier comment that the key variables seems to be one of timing as opposed to expectation.
David Thomas Seaton - Chairman & Chief Executive Officer: Right.
Steven Michael Fisher - UBS Securities LLC: Okay, that's helpful. I guess you just sort of answered this next question, but it's sort of a bigger picture thing about – to what extent is this commodity price backdrop and macro outlook really causing you to rethink the way you do business versus just kind of the cost restructuring you did and making some of these strategic moves that you might have done anyway. Really just trying to gauge your perspective on how much hunkering down and really rethinking your overall business model there needs to be here. I mean it sounds like you said, it's kind of glass half full, and you think there's a lot out there. But I mean, do you feel the need to really rethink the way things are going or are they that sort of dire? It sounds like not.
David Thomas Seaton - Chairman & Chief Executive Officer: Well, it's – that's a great question. I was at an event this morning at the Dallas Fed and the same kind of discussion was taking place. And it's interesting. I remember it, and I've said this on these calls before in private meetings with you guys. I sat in Saudi Arabia in 1997, and oil was $17 a barrel, up from $11. This isn't the first time me or people within our industry or our company have seen these kind of swings and volatility in markets. And they will fix themselves. I mean when you think – right now, there's an oversupply of oil products. There's an oversupply of gas. There's an oversupply of LNG. It's going to take a while for that to clear, but it will clear. And when you think about particularly Oil & Gas customers, they haven't said they're going to stop spending. They said they're going to cut their capital spending. And that just means that they're going to prioritize and look at those high-value projects which is one of the litmus test or selectivity sieves that we use in terms of what projects we actually pursue. So again, I think our strategy is sound in terms of how we want to face the market and how we want to deal with the customers and which projects do we want to prioritize on. But that does not mean that we're not going to continue to look at our strategy, focus on cash management, focus on lower – continuing to find areas of how we do our projects to lower cost to meet that demand that the customer is asking for in terms of capital efficiency. So we're going to continue to work and, as I said in the prepared remarks, focus on the things that we could control. And right now, that's how we focus on the customers and how we sell a different way of doing projects that delivers what they're asking for.
Steven Michael Fisher - UBS Securities LLC: Okay, thanks a lot.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: And next will come Andrew Wittmann with Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Great, thanks for taking my question. There was a comment in the 10-K that you expect 38% of the backlog to burn this year. That implies about $17 billion of revenue. So I guess two parts from here, how much book and burn do you think is available to you with your current outlook here? And then when we kind of marry that $17 billion number, assuming there isn't any book and burn in it, we know there is, but it does imply that margins are probably in the high 4% range. Can you just kind of give your thoughts on the implicit margin from that in the book and burn work that's available to this year?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, that's sort of a backend way to give us to give real revenue guidance, and there's a fair amount of variability in terms of mix as we know – that's what we've experienced over the last couple of years on revenue. So I think that we'll not go too far in answering your question. But certainly, I think that much of what we have in revenues, substantial majority of it is already in backlog. If you look at how we've talked about margins over the last couple of months going back to the third quarter call and then presentation since then, if you aggregate that all together, you're probably on a consolidated basis somewhere in the plus 4% range, but where exactly that lands is – this is a tough call. There's just too many variables. So we feel good about the extent that our revenues are covered significantly by what's in backlog. Yes, there is some book and burn. I think that as we said, the key variable there then is the timing of new awards and how fast that comes in. But we feel really good about the prospects of those new awards, but it's a little early to judge how they're going to play at what kind of a rate. So that's what we're watching as we go through the year.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Got you. And then maybe, Biggs, on cash flow, I mean, it was a very good year on cash flow. I guess from here with, you mentioned, I think, it was in the – maybe in the K or maybe in the comments that the equipment businesses is one of the areas where you saw a little bit of weakness. Do you feel like you monetized some of your assets in that business and shore up the balance sheet, what do you think the puts and takes are, and what's the appetite for that newly expanded share repurchase plan as well?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, as far as the equipment business goes, we are expecting some pickup in 2016 particular as water projects transition towards construction. So it has really come down as a result of lower mining activity, it came down year-over-year as a result of Afghanistan. But most of that was really reflected as lower levels of equipment back to the end of 2014. So we'll see, but we think that certainly there's prospects for that business to pick up as we support our own – just our own projects in construction in 2016. In terms of capital deployment, as I said, initially, we've got – we have a healthy cash balance. We're really happy with how we generated cash last year and expect to do a great job of generating cash again this year, but we have some expenditures right in front of us in terms of the funding of the China fabrication joint venture. As I said in my comments, there is $500 million over the course of the year, just under $500 million that has to be funded. So over the very near term, I think we have places that we figure that will generate great returns over time to go invest in. Beyond that, our strategy remains the same as it has in the past typically. We don't expect to preannounce any kind of a share repurchase program, what we expect to do is as we go through time evaluate our excess capital as it's generated, what to see first if there's some high investment opportunity that will create a good return for shareholders, high investment return opportunity that will create a great return for shareholders; and then in the absence of that, we'll look to see if we repurchase shares, just like we have in the past. But it's not a near-term analysis we have to go through because, as I said, we've got some near-term opportunities for our cash commitments we've already made. We'll generate good cash flow in the future. We had that expectation. So we look forward to having to do that analysis going forward.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Thank you.
Operator: And next will be Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee CRT: Good evening, everyone.
David Thomas Seaton - Chairman & Chief Executive Officer: Hey, Michael.
Michael S. Dudas - Sterne Agee CRT: David, your observations of Middle East, you've mentioned about in 1999 when you're in Saudi, at $17 oil, given the geopolitics, given where oil is today and some of the hysteria you're seeing from the press and such, is that an area that can come back relatively quickly if oil prices come back? And is that an area where you could see some springboard to some business in 2017 and beyond? And being 2016 being more of an wait and see, are there still opportunities with low gas and chemical side that you can – and the refining side you can push through more opportunities in that world?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I'll get back to what I've said, Michael. They haven't stopped spending. So there's still a pretty robust slate of projects but mostly refining and petrochemical programs, just like you're seeing here in the States. So I think there's near-term opportunities. My experience out there suggests that it depends on how much of a return of the oil price happens and when. But I've seen them turn on a dime in terms of what they want to do. And I don't want to really call it a herd mentality, but they got these things pinned up on their drawing board, and they want to get them going, and they can move pretty rapidly. As I said, I don't think you're going to see the supply situation change dramatically until as we get into the mid part of the year. But once that glut kind of clears, I think you can see commodity prices kind of stabilize if not rise as we get to the backend. But the other thing that I'd warn everybody about is when you think about the long-term nature of Oil & Gas developments, from exploratory well to production, it's a decade. So they're not thinking about spending today for tomorrow. They're thinking about spending today so that either the reserve base or their product mix or whatever is just focused on that further longer view. And they're going to continue to fund those projects that satisfy that need. So two ways answering your question, one, they can turn quick. I don't anticipate it in 2016, but you're just still going to see steady spending on the things that makes sense.
Michael S. Dudas - Sterne Agee CRT: David, follow up on your answer to one of the questions early, you have been at Dallas Fed presentation or something this morning. It seems – given to what you see in your business and the diversity that you've put forth, especially in infrastructure, manufacturing, life science, U.S. pipe opportunities, do you get the sense that your customer base and the diversity trend and even in Power is going to allow for some better activity from your U.S. customers allowing you to get some more business as we move through 2016, or is the concern about the economy that we read about in the press and hear and seen on TV all the time is more troublesome?
David Thomas Seaton - Chairman & Chief Executive Officer: I think it's – if I were to put a phrase on things, I'd say steady as she goes. I mean, when you think about life sciences, pharmaceuticals, well, the taxing regimes in places like Ireland and Singapore and some of the other places around the world have attracted those businesses, so that's not going to be a U.S.-based business by and large. I do still see the petrochemical resurgence in the United States continuing both in terms of additional crackers and to further downstream derivatives. So there's an example of where the U.S. will be there. The Westinghouse projects kind of skew us back towards almost at 50-50 or 60-40 kind of range in terms of U.S. versus non-U.S. business. But I still see more opportunities outside the United States than in the United States with the exception of maybe the Infrastructure business.
Michael S. Dudas - Sterne Agee CRT: David, thanks for your thoughts.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you, Michael.
Operator: And next will be Brian Konigsberg with Vertical Research Partners.
Brian Konigsberg - Vertical Research Partners LLC: Hi, good afternoon.
David Thomas Seaton - Chairman & Chief Executive Officer: Good afternoon.
Brian Konigsberg - Vertical Research Partners LLC: Since no one's touched on it yet, maybe you can just address the issues on the Brunswick power project, and just maybe more specifically, you're saying mechanical activities are done, expected to be completely finished by spring. But what risk activities might be left between now and then that we maybe – should be concerned about or not?
David Thomas Seaton - Chairman & Chief Executive Officer: Good question. We're basically done. It's in final throes. The biggest issue is a startup condition where you introduce lube oil and you recycle lube oil and you make that change. The suppliers program and what we were told by our customers that it took 45 days, and it took us 90 days. So therein lies the majority of – and it took us past the third- end of the third quarter obviously and that was certainly not anticipated. But we're all but done in terms of the project. I said in the last call that we had it under control and there were no losses. So I'm not going to say it again, but we're ready to start this thing up. So I don't really anticipate anything that we haven't anticipated happened now.
Brian Konigsberg - Vertical Research Partners LLC: Got it, thanks. And just secondly on – you made some comments on pricing. You are seeing some pressure. It doesn't seem like it's overwhelming. But maybe just talk about what the assumptions are for 2016 and maybe not just in the Oil & Gas but what you're seeing across Power and Infrastructure and some of the other businesses that are actually gaining a little momentum, is there becoming increasingly competitive given that Oil & Gas is falling or becoming weaker?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think you know the Power market is still a pretty tough market and will be for some time. I would never categorize it as easy. These are – there's a lot of competitors and they like to feed their house too. And depending on how hungry they are is to how they act in terms of pricing. So we still see that as pretty tough market. But again, the way we changed, the way we're doing work applies to Power, just like it applies to some of the other businesses. So we're kind of changing the game a little bit. And I think we've got a competitive offering. Infrastructure is a little bit the same way. But we're starting to see some of these things come to fruition, and we're winning in things that we already know how to do, roads and light rail, and we're winning with acceptable margin with our partner. So I feel reasonably okay there. The other businesses are doing quite fine. We talked a lot about Oil & Gas, our ability, and the quality of the margin backlog that I spoke off is I think a testament to change in the model with how we deliver, which makes us more competitive in the marketplace. Our Government business has done quite well. We really haven't talked about that, but we won Idaho and a really, really huge win for us and something we're really pleased with, which again if you think about it, that adds in – with the Stork acquisition, it adds to that non-commodity piece of our business, which should provide some stability in earnings over the longer term. Those are big long three-year to five-year kind of contracts. So again, going back to part of my comment with – to Jamie, that also gives us confidence in our ability to – in 2016 and start 2017 with a pretty robust capability in terms of earning potential. So this is a hard business, I mean. And it's always competitive. It's never easy in terms of what our competition confronts with or what our client expectations are. And I'm just really proud of our organization, how we respond to that, and how we've responded as an organization to a new way of doing business that results in better margin performance across the board.
Brian Konigsberg - Vertical Research Partners LLC: Just to summarize, I mean, it sounds like you are not assuming anything out of the norm relative to the last couple of years from pricing within the guidance for 2016, is that...
David Thomas Seaton - Chairman & Chief Executive Officer: No.
Brian Konigsberg - Vertical Research Partners LLC: Is that a fair statement?
David Thomas Seaton - Chairman & Chief Executive Officer: That's a fair statement. We're seeing – we are seeing some of our competitors in a little bit of dire straits, which you worry about in terms of what are they going to do next. But we feel good about what we are pursuing and how we're pursing it and whom we're pursing it for. That makes sense.
Brian Konigsberg - Vertical Research Partners LLC: Yep, thank you very much.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: Next will be Jeff Volshteyn with JPMorgan.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Good evening and thank you for taking my question. Several questions actually, just to clarify some of the commentary that was already made. On the LNG comment, David, I assume you're talking about getting that, but kind of broadly, how much of your Oil & Gas backlog is linked to LNG, and there is – are there any other small expansion projects or maintenance projects that are still likely to be in the pipeline?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, my comment about LNG was more global, not necessarily within our – with ours. It is a general comment about LNG. But in my prepared remarks, I mentioned there's really no earnings in 2016 for LNG.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: And what percentage of the backlog has been related to LNG, is there any?
David Thomas Seaton - Chairman & Chief Executive Officer: We don't provide that.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Okay. On the petrochem side of the business, you sound optimistic about the future and derivative plans involving the crackers. What is the status of the projects that you're working on right now?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, if you look at the three crackers in the U.S. we're working on, Dow and CPChem are well underway in construction. And on the intended schedules that we were there in terms of cost, we're right on target. Sasol is the one that's a little bit behind just in terms of schedule. We're in the field, but really only on a – in the civil side of the business and feel pretty good about where we are there. So I would say that they're progressing like we planned, and progressing quite nicely for those customers.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Great. And then in the Power segment, can you update on the new scale filing timeline and investments that you're putting into new scale?
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah. As we said in the prepared – I think in Biggs's prepared remarks, we're looking at about $80 million to $90 million spend this year, leading up to the submittal of the design certification towards the first to the middle of the third quarter. We've had great conversations with the DoE and the NRC about their preparedness to review that submittal. We feel good about fact that our first customer has gotten into agreement with the DoE for a site for the first one in Idaho. And just the fact that we won the Idaho project, I think strengthens our ability to deliver on that. So we're on target. We feel good about what we're going to submit. We feel good about the NRC's readiness to do that review. And we think that opens the door for future investment and new scale from outside of Fluor.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Great, thank you very much.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: And next question will come from Andrew Obin with Bank of America Merrill Lynch.
Andrew Burris Obin - Bank of America Merrill Lynch: Guys, thanks all for taking call from me.
David Thomas Seaton - Chairman & Chief Executive Officer: Hi, Andrew.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Hi, Andrew.
Andrew Burris Obin - Bank of America Merrill Lynch: You will be glad to know, Anna is back in one week.
Unknown Speaker: Really?
Andrew Burris Obin - Bank of America Merrill Lynch: Yeah I know. So just a question as there is sort of taking a sort of 40,000-foot view, so you used 1990s as a reference to what's happening in the Oil & Gas cycle. So a lot of discussions we're having with clients. Do you think it's more like the 1990s or it's more like the 1980s? And what do we think the differences – implied differences on strategy if it's more like the 1980s?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think the one thing that's not being spoken off is the demand growth in this discussion. And when you look at those demand growths, we're still looking at 1 million barrels a day kind of growth in the midterm, I would say. So when you think about some of the production that's going to naturally come off due to depletion curves, you look at – I guess, the Saudis and the Russians kind of put, for lack of a better term, a ceiling on production. You can see where that glut's going to clear pretty quickly. I think, what's different this time is in lot of these producing countries their cost base has gone up because of the social programs. So I think, they're going to do what they can to turn this quick – more quickly than maybe would have taken place when you – even if you go back into the 1970s and what the embargo did. So I'm not sure, you can actually do a comparison to the 1990s, not sure you can do a comparison to the 1970s or even if you go back into the early 2000s when pricing went down. I just think it's a different marker. And I'll give you an example. This is the first time in my career where – when the sabers rattle between anybody in the Middle East that threatens the Straits of Hormuz, and I'm speaking specifically about the issue between the Saudis and the Iranians that obviously was in the press, the oil price didn't spike by $10 a barrel the next day, and in fact, this time, it went down. So I would argue that the fundamentals are significantly different today in terms of who's producing and how much they're producing. And the change in the flow of those products over the last decade, more gas, more LNG, LNG glut right now, oil is there, coal is bad. I mean I just think that there's a lot of issues that are different in this cycle than they were in the past. But I think the one thing that's going to drive maybe a quicker recovery than some of the historical times is the need for a cost per barrel to satisfy the social needs of some of these producers.
Andrew Burris Obin - Bank of America Merrill Lynch: Thank you for such a great answer. Just a follow-up, in talking to a lot of corporates, we're hearing that it's not about the price decline per se but it's also the price volatility that's inhibiting their ability to plan CapEx. In your conversations with your customers, how long – how much of a stability do we need to see in oil prices for them to get comfortable with putting plans out? Do you think it's one month, do you think it's three months, what are you hearing?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think they're already on a new level. I think that and I've said this before, I think many of them would say that they were drunk on $100 oil, my term, don't tell them I said that, and probably wouldn't have made some of the funding decisions that they made if they didn't in their backroom believe that $100 oil was there to stay. So I think in their backrooms now, they are thinking, you know $40, $50 kind of dollar range is the new norm, and we have to plan on that basis. And we're already seeing them use a more reasonable number. I remember back in the day when they used to plan on $14 was the kind of the litmus test for capital spend. So it'll morph and change, but I think there's a huge wake-up call that $100 isn't something that that's there forever. But I also remember everybody saying the sky would fall and the world would end if it ever went above $100. That didn't happen either. So I think what we're hearing from our customers is there's kind of a new norm, and somewhere between $40 and $70 is probably the kind of the sweet spot for the longer term.
Andrew Burris Obin - Bank of America Merrill Lynch: Thank you very much.
Operator: And our next question will come from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, folks.
David Thomas Seaton - Chairman & Chief Executive Officer: Hi, Tahira.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Hi, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: First question is, David, you commented earlier on aggregate backlog potentially being flat as possible this year. Are there any segments in particular where you're more comfortable saying that than others?
David Thomas Seaton - Chairman & Chief Executive Officer: I think I've provided a little bit of color there. I mean, there's some growth opportunities in all of our businesses to a varying degree without – with – I would take mining out of that. There's really not any intended new awards in there, and we're finishing a couple of projects. So I continue to see I&I in terms of backlog drop because mining was such a huge piece of that.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
David Thomas Seaton - Chairman & Chief Executive Officer: But you think – I mean, $44 billion in backlog is almost at an all-time high, and we have the ability or we've stated we have the ability to stay at that level. I mean that speaks volumes of how powerful this company is in terms of satisfying customers and expanding our opportunities. So, again, I wouldn't point to anyone other than mining that's a bit of a challenge. Each of our groups has – have opportunities to grow.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. And David, your sort of optimism or your upbeat note on Oil & Gas, within your mix, would you say that market share gains wise you stand pretty well but the fab yards? Is that also playing into your outlook?
David Thomas Seaton - Chairman & Chief Executive Officer: We don't really look at it in those terms. I mean market share in this business is really a magic number. I mean it's – you got to really understand what goes into that total number to see what market share is. But what we have seen is a combination of the integrated solutions offering that includes fabrication, includes supply chain, includes a resurge in our direct hire construction capability is proving very effective with our customers. And I think the fact that we continue to pull in billions of dollars every quarter in Oil & Gas and, obviously, the other things that we do is a testimony to the customers' acceptance of our new way of doing business.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: You can add to that our ability to design the product differently.
David Thomas Seaton - Chairman & Chief Executive Officer: Yeah. But I also...
Tahira Afzal - KeyBanc Capital Markets, Inc.: Fair enough.
David Thomas Seaton - Chairman & Chief Executive Officer: I think that our ability to continue to create or have a positive cash flow in some difficult markets is another testament to the strength of this company and what we can actually deliver. I mean it provides us with the ability to go places when others can't. I mean I go back to what Buffett says, and I am not signaling any more acquisitions. But Warren Buffett says that he's nervous when people are greedy, and he's greedy when people are nervous. Well, right now people are nervous.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
David Thomas Seaton - Chairman & Chief Executive Officer: And we've got the powder to deal with the things we need to deal with.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, makes sense, David. I just had a brief last question. And if I look at what's making a lot of these projects economical again on the Oil & Gas side, it's clearly the costs have down for the project. Do you think you're at a point where your back bookings on an annualized basis are down considerably, so would it be fair to say that the scope at this point, even if it's reduced, it's kind of taken into consideration when you are talking about potentially backlog even in that segment being potentially flat at some point?
David Thomas Seaton - Chairman & Chief Executive Officer: I mean I think it's puts and takes in this timing. As Biggs said earlier, when you think about the revenue, it's all timing of projects and where they are in their cycle. But I think being – having the kind of backlog where we are is interesting, but I would point you back to maybe four years ago when it was half of that.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
David Thomas Seaton - Chairman & Chief Executive Officer: So I think the way we position the company and the way we kind of changed our model when the markets move, and they will, I think we're in an outstanding position to take advantage of that, and we have significant upside potential. But I just think that that's further out in time then 2016, 2017. But we're ready, and I'm really pleased with the way the organization's responded to this volatility.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay. Thanks, David.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: That does conclude the question-and-answer session. I'll now turn the conference back over to you for any additional or closing remarks.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you very much, operator, and thanks to all of you for participating today. As I said in my opening remarks, we do expect commodity prices to stay low, and we'll continue to drive customers' decisions. But I do know that they're going to continue to spend and focus on these high quality projects that we have in our sites. As I've mentioned, our integrated solutions approach has met the demand in terms of our customers need for capital-efficient projects. And we'll continue to work on that and hopefully continue to drive down those costs. This is not a demand and that will subside when commodity price has begun to improve. To that end, the changes we've made in our business model have prepared us for the next cycle. And that next cycle will come. We've been through this – I've been in this business a long time and what is now down will go up again. The evolution of our offerings, I think, has provided us with robust cash flow generation as I mentioned earlier and just strengthens our balance sheet and our ability to continue to operate. I think our cost management discipline also gives us an advantage and an opportunity to be more successful in the future. Not to say that 2016 is going to be an easy year, it's going to be a difficult year. But I think there's great opportunities as we go through this to continue to deliver for our shareholders. With that, I greatly appreciate your interest in our company and the confidence that you provide us, and I wish you all a good day.